Operator: Thank you for standing by ladies and gentlemen and welcome to Coca-Cola HBC's Conference Call for 2024 Full Year Results. We have with us Zoran Bogdanovic, Chief Executive Officer; Anastasis Stamoulis, Chief Financial Officer; and Jemima Benstead, Head of Investor Relations. At this time, all participants are in a listen-only mode. There will be presentation followed by question-and-answer session. [Operator Instructions] I must also advise that this conference is being recorded today Thursday, February 13, 2025. I will now pass the floor to one of our speakers Jemima. Please go ahead. Thank you.
Jemima Benstead: Good morning, and thank you all for joining the call. In a moment, Zoran will share his highlights of 2024, Anastasis will then take you through our financial performance in more detail and discuss the outlook for 2025, before handing back to Zoran, who will discuss our growth opportunities for the business. We will then open up the floor to questions. We have about an hour for the call today, which should give plenty of time for a good discussion. Please keep to one question and one follow-up waiting for us to answer the first question before moving to your follow-up. Finally, I must remind you that this conference call contains various forward-looking statements. These should be considered in conjunction with the cautionary statements in our results press release this morning and at the end of our slide deck. And with that, I will turn the call over to Zoran.
Zoran Bogdanovic: Thank you, Jemima. Good morning, everyone, and thank you for joining the call. 2024 was yet another strong year for Coca-Cola HBC. I feel very proud of all we've achieved and privileged to be able to share the progress made by our 33,000 colleagues. We delivered an excellent financial and operational performance, while managing tough macroeconomic challenges. In all cases, we have consistently adapted to the environment leveraging our portfolio and capabilities, particularly revenue growth management route to market and data insights and analytics. I really want to comment our people's focus behind execution excellence because the speed and agility with which they are executing our strategy in every single outlet is fantastic. They are raising the bar every year. Taken together this enabled us to deliver ahead of our plans in 2024. We continue to invest in our teams, our capabilities, our 24/7 portfolio and our operations to ensure we are ready to unlock the huge future growth potential we see. Let me call out some highlights. Firstly, our top line growth was strong and high quality underpinned by continued volume momentum. Secondly, we are delivering real value to our customers. We were once again the number one contributor to retail customers' absolute revenue growth within FMCG in Europe and we are continuing to gain value share with an additional 150 basis points gained in NARTD in 2024 and continued to share gains in sparkling. And thirdly, this progress was all possible because we are focusing on the most promising opportunities in our market led by our strategic priority categories. As well as delivering results today, we are investing for future growth, firstly, strengthening our portfolio. We continue to prioritize Sparkling Energy and Coffee, which offer the most sizable potential across our 24/7 portfolio. We are also ensuring we have the right locally relevant portfolio in stills and we are taking hold of the opportunities in our 24/7 portfolio through investments in premium spirits, which enhanced our mixability credentials and drive incremental transactions. Secondly, we are investing in our bespoke capabilities with a particular focus on embedding our data insights and analytics capability into other capabilities and key business processes. And thirdly, we continue to invest in sustainability focusing in our most material areas packaging climate and water. Focused execution of our strategy has continued to drive strong financial performance. Revenue grew by 13.8% on an organic basis, with volume up 2.8% and volume expansion in all three segments. Comparable EBIT was €1.2 billion the highest ever for our company, and up 12.2% year-on-year on an organic basis. Our comparable EBIT margin reached 11.1% a strong improvement from the 10.6% of 2023. Comparable EPS grew by 9.5% year-on-year. Return on invested capital is an important metric for us at CCH as a measure that we are driving strong returns from the investments we are making. I'm really proud to say that we have driven 190 basis point improvement in 2024 reaching 18.3%. Before I hand over to Anastasis to take you through our financial performance in more detail, let me touch briefly on the drivers of our strong top line growth from both the category and market perspective. Starting with categories. Sparkling and Energy combined represent nearly 80% of our total revenue. Coffee is earlier in its journey, but is a sizable and important market, with a huge potential. And I'm pleased to report that in 2024, these three priority categories continue to perform well. Moving on to our market. We benefit from a diverse country portfolio, with strong growth potential. In 2024, our execution excellence in a range of macroeconomic and consumer conditions, allowed us to drive good financial progress, across all three segments. I'm particularly pleased, to see ongoing top line expansion in the Established segment, despite the more sensitive consumer environment that we called out earlier in the year. Meanwhile, the Developing segment achieved a strong rebound in profitability. And while the Emerging segment faced specific macroeconomic challenges in two large markets, we navigated them well taking pricing, adopting promotions and adjusting packaging. Combined, these steps helped lead to robust financial performance in this segment too. Let me now hand over to Anastasis, who will talk more about our 2024 financial performance, before I return to share more on our medium-term growth drivers and opportunities.
Anastasis Stamoulis: Thank you, Zoran and good morning, everyone. 2024 organic revenue growth was 13.8%. I am very pleased by the strength of this growth and particularly its quality. Volume expansion of 2.8% was higher in 2024, than in the previous two years and that growth was broad based and driven by our strategic priorities. Revenue per case grew 10.7%, driven by targeted RGM actions, which drove improved pricing and mix. Our single-serve mix expanded 100 basis points, resulting in better package mix and we also achieved an improvement in category mix. 2024 comparable EBIT grew by 12.2% on an organic basis, reaching €1.2 billion. We drove a 110 basis point expansion in gross profit margins. This was as a result of strong top line growth, combined with the easing rate of inflation of our key commodities. OpEx as a percent of revenue, increased by 70 basis points in the year. In the first half, we faced headwinds in operating costs including, a noncash foreign currency remeasurement of balance sheet items in emerging markets. In the second half, we saw good improvement in the trend of operating cost as a percent of revenue, due to better operating leverage, while still continuing to invest across the business. Let's now, look at the drivers of performance by segment. I'm going to discuss these figures on an organic basis. In the Established segment, revenues grew by 3.3%. Established markets volume increased by 0.3%, testament to the resilience of our 24/7 portfolio. Sparkling volumes were down slightly overall, but grew in Coke Zero, Sprite and Adult Sparkling. Energy volumes were up high single digits, with good growth in Monster. Coffee also grew up, high single digits. And finally, spirits volumes increased by low single digits led by water, while sport drinks continue to show good momentum. On a country basis, volume performance continues to be strong in Greece, while volumes were weaker in Italy and Switzerland. Irish volumes declined slightly in the full year, as the country managed the implementation of a deposit return scheme, but saw an encouraging return to growth in the second half. Revenue per case was up 3%, driven by continued pricing initiatives tailored to the local markets as well as good improvement in package mix, where single-serve mix improved by 110 basis points. Established segment comparable EBIT was broadly flat, as operational leverage was offset by ongoing investments. Turning to the Developing segment. Revenues were up 12.7%. Volumes grew 2.5%, building on the improved trends towards the end of last year, with continued momentum. Growth was broad-based across most categories and markets. Sparkling volumes were up low single digits, with particularly good growth in Coke Zero and Sprite and that Sparkling also performed well, led by Kinley. Energy volumes grew high single digits, with good performance from Monster, despite new regulation in Poland. In terms of country performance, let me call out three markets. First, the ongoing resilience in Poland; second, the consistent momentum in Hungary, despite the launch of DRS in 2024; and third, particularly strong growth in the Czech Republic. Revenue per case increased by 10%, driven by pricing initiatives and positive category and package mix. We also benefited from the rollout of Finlandia distribution, which added 450 basis points to revenue per case, in the year. This good top line expansion drove strong operational leverage in 2024, with comparable EBITDA 39.6%, leading to strong EBIT margin expansion of 180 basis points. In the Emerging segment, revenue grew by 23.3%, driven by both volume and good price/mix. Emerging markets volume grew 3.7%. Sparkling volumes were up low single digits, while Energy and Coffee volumes grew strong double digits. Stills volumes were up mid-single digits led by good performance in water and ready-to-drink tea. In terms of countries, let me call out Serbia and Egypt, while Zoran will touch on Nigeria in more detail later in the call. In Serbia, volumes increased mid-single-digits excluding Snacks, while overall performance was impacted by the fire at our Bambi sludge plant in the middle of the year. And we are making real progress in Egypt, strengthening the business through investments in our capabilities and enhancing our portfolio, such as through the introduction of Energy. While the underlying market remains challenging, we are confident we are making the right decisions to provide a pathway to strong medium-term growth. Emerging segment revenue per case increased 18.9%, reflecting proactive actions to manage the impact of currency devaluations, post-inflation, and regulation. Comparable EBIT grew by 13%, a robust performance in a year of significant currency headwinds in two of our largest markets in the segment. Moving now further down the P&L. Comparable earnings per share grew 9.5%. This was supported by strong profit delivery and effective management of financial costs. As expected, our comparable tax rate of 27% was at the top end of our guided range. Consistent growth in comparable earnings per share leads us to recommend a dividend of €1.03, up 11% from 2023. CapEx decreased slightly to €679 million. We made ongoing investments in production capacity, supply chain information, and energy-efficient coolers and we are also continuing our investments in digital and data solutions. CapEx for the year was 6.3% of revenue, slightly below our target range as a result of low level of investment in Russia relative to the rest of the group. We delivered strong free cash flow of €730 million, driven by improved profit generation. Our balance sheet remains very strong and the close of the year net debt to comparable EBITDA was 1 times. Our priorities for capital allocation remain unchanged and setting service of our strategy and our vision to be the leading 24/7 beverage partner. We continue to invest in the business organically and to make value-accretive acquisitions that further improve our portfolio or our capabilities. The most recent example is Finlandia and Zoran will say more on our progress there later. The capital discipline has also allowed us to drive higher returns to shareholders. I already mentioned the dividend increase and we have also returned €226 million or approximately 2% of sales outstanding through a share buyback since November 2023. Overall, I'm really pleased that we are successfully achieving a combination of investment in the business, strong improvement in ROIC, and increased shareholder returns. As we look to the rest of 2025, we expect the macroeconomic and geopolitical backdrop to remain challenging with a still mixed consumer environment across our markets. However, we have high confidence in our 24/7 portfolio, our bespoke capabilities, the growth opportunities across the diverse markets, and most of all in our people. As a result of this, we expect to be able to make continued progress towards our medium-term growth targets. In 2025, we expect to achieve organic revenue growth in the range of 6% to 8% and to deliver organic EBIT growth in the range of 7% to 11%. Thank you for your attention. Let me pass the call back over to Zoran.
Zoran Bogdanovic: Thanks Anastasis. Before I get into some of the categories and markets that are driving our growth opportunities, let me take a moment to talk to you about two absolutely critical enablers of that growth, culture and capabilities. The connectivity of these two allow us to take advantage of our opportunities. I am convinced that our company's growth-focused culture is at the heart of our competitive advantage. We empower our people asking that they take ownership and accountability for their ideas and actions with a relentless winning attitude. This attitude keeps us on the front foot and keeps us agile, which is crucial in these dynamic times. Our purpose, vision, and values are clear and we are constantly nurturing an inspiring workplace with opportunities for advancement and development. You've seen this slide a few times now and that's because our bespoke capabilities are absolutely critical drivers of our growth algorithm. We've made real progress with our capabilities in 2024 and you saw what we are doing in data, insights, and analytics in particular at our Investor Buy-Side Event hosted by our Chief Operating Officer, Naya in October. However, we are investing across all of our capabilities, building them out in an interconnected way with one vision which is for personalized execution for every outlet. While we are proud of our achievement in 2024, we are really proud of the consistency and strength of that performance over many years. It goes without saying that we have not achieved this performance because of an easy and supportive economic backdrop. Actually we have faced many challenges and surprises along the way. But through all of that, our culture and capabilities when connected to our advantaged categories and markets have powered us through. This emphasizes the resilience of our business through a range of different macro and consumer backdrops. As we look to 2025 and beyond, we are very aware of ongoing risks. We have confidence in the future not because we think it will be easy but because we remain focused on our strategy and we remain agile and ready to adapt due to our culture and capabilities. Let me now take you through some of our biggest potential opportunities across our categories and markets. Sparkling continues to be the largest driver of growth for our business given its healthy long-term category potential and the 70% rating in our revenues. In 2024, we benefited from strong joint programs with the Coca-Cola Company as well as our execution in the marketplace. For example in Q4, The World Needs More Santas campaign spread across all our markets, but we also had targeted campaigns and activations on locally relevant sports and music events throughout the year. Another key opportunity continues to be within adult sparkling which grew high single digits in 2024. We launched several new flavors and package formats across Schweppes and Kinley and continue to roll out our super premium brand Three Cents. In 2025, we will lift and shift some of these success stories aiming to scale our wins and continue our growth momentum. In 2024, we delivered our ninth year in a row of double-digit volume expansion in Energy. Our ambitions in Energy are unchanged. We expect it to have a double-digit contribution to group revenues over time. The category continues to have strong growth potential in our markets where per capita consumption remains low and we are gaining share. Growth in 2024 was led by the Emerging segment where our affordable offers Predator and Fury are unlocking market potential. Growth also remains very healthy in our established and developing markets up high single-digits as we benefit from category growth share gains and strong activations including in gaming with Monster. We rolled out Monster Green Zero Sugar to 16 markets in 2024 with good early results. In 2025, we will continue to focus on Monster Green Zero Sugar and we have an exciting innovation pipeline to look forward to. We also expect continued good performance in Africa from our affordable brands. Coffee remains an exciting opportunity for CCH. As you know we've been investing to create a strong credible business here with the unique competitive advantages. We benefit from a segmented portfolio with both Costa and Caffè Vergnano allowing us to go after the most profitable parts of the market at scale from mass premium to premium. On top of that the capabilities we have built particularly with our data insights analytics team are allowing us to understand the opportunity from our highest potential customers at the click of a button. This is both from our existing customers who may not be taking advantage of the full portfolio as well as prospective customers. These advantages give us a real right to win in the out-of-home segment which is also the most lucrative part of the Coffee opportunity in our market. In 2024 we added 4300 outlets. And going forward this channel will be even more our priority. In the Stills category we are focused on capturing the growth in the highest value parts of the portfolio. That means prioritizing premium water, sports drinks and ready-to-drink tea with offers tailored to the local market. And we have focused on improving package mix also with still single-serve mix up nearly 400 basis points over the last three years. Sports drinks continue to be a strong focus. Powerade volume was up 15% in 2024 as we launched the brand in three new markets and expanded our coverage of dedicated coolers. Ready-to-drink tea volumes grew by 4% building momentum compared to 2023 supported by acceleration plans in several markets. Moving on to Premium Spirits. This business brings a huge amount of value to our offer truly enhancing our mixability credentials and our relationships with our customers. We have distributed Premium Spirits for nearly two decades. However, the acquisition of Finlandia in 2023 has step changed our capabilities and scale here. 2024 has been a year of integration and we are very pleased with how well the Finlandia teams have become part of CCH. We have already started to take actions to improve the growth opportunities of this business. We also have an opportunity to expand in ready-to-drink. We have now launched Jack & Coke in a total of 18 markets and will continue building the category and distribution. Moving on from our categories to two key markets where we have demonstrated the strength of our execution capabilities despite the challenging macroeconomic environment. We faced increased consumer sensitivity in Italy this year which we flagged earlier in 2024. I've been really pleased with our execution in the market and how we've adopted this year using our whole revenue growth management toolkit. We took early action to adopt pack-price architecture and stepped up promotions and we've been pleased to see positive reactions in the market particularly towards the end of the year. Premiumization continues to be important. And in 2024 we achieved an improvement in single-serve mix benefiting from growth in cans including mini-cans. While volumes in Italy overall are down we are pleased to see good growth from Coke Zero and Adult Sparkling, as well as Energy. These categories have been helping us to consistently drive growth over the last few years. Sparkling volumes are up 2% annually on average over the last three years with particularly good performance from the premium part of the category with Adult Sparkling, up 20% over the same period. And Energy is up 14% annually on average over those three years, all the while we've been able to deliver consistent expansion in revenues in Italy. Let me also share some thoughts on the medium-term opportunity. Italian per capita consumption remained significantly below similar markets such as Spain and Greece. Together with the Coca-Cola Company, we've been investing to unlock these with a tailored plan focused on locally relevant passions pizza with in-outlet activation, football through the sponsorship of Napoli and Juventus and local music festivals like Sanremo. So there is a lot to play for in 2025 and beyond. Moving on to one of our African markets, I am very pleased with the consistent strong performance we are achieving in Nigeria despite ongoing challenging macro. In 2024, we faced significant FX weakness and inflation. This required the rewiring and acceleration of our pricing plan and we executed that while still driving good volume and market share expansion in the year. This performance is testament to the strength of our execution enabled by our capabilities and the quality of our team in Nigeria. We have always flexed our portfolio in Nigeria to offer affordable solutions such as glass and also generate mix improvements with premium offers in energy for adults. However, our investments in our capabilities continue to improve this. For example, in Nigeria, we have done global pilots to connect our data with that from the Coca-Cola Company to give us a deeper, granular understanding, improving our ability to segment the market with more tailored premium and affordable offers. This supports our continued healthy volume and revenue per case expansion. We are also working closely with the Coca-Cola Company in Nigeria on sustainability. We were there last month, opening the first ever Coca-Cola system-owned and operated packaging collection facility, which we built in 2024. This facility has the capacity to process up to 13,000 tons of plastic bottles per year and it's a very significant step towards creating a circular packaging economy in the country. Continuing the theme, sustainability remains a key priority and a growth enabler. I'm, therefore, really pleased we were recognized for the eighth time as the world's most sustainable beverage company by the 2024 Dow Jones Best-in-Class Indices and also to see our efforts recognized by the AA rating from CDP on climate and water. Packaging, climate and water are our most material issues and a key focus. It has been a busy year with a lot of achievements to be proud of. Let me share a few highlights, starting with packaging. Packaging circularity is vital for us to achieve our sustainability targets. We actively support the launch of well-run deposit return schemes or DRS, which are an important way to drive packaging collection rates. Nine schemes have been launched across our countries to date. And last year we had successful DRS launches in Hungary and the Republic of Ireland. Last month we went live in Austria and Greece and Poland are due to follow later this year. On climate, I'm pleased to report that the science-based target initiative validated our updated net-zero by 2040 emissions targets, now including Egypt for the first time. On water, we continue to work with the Living Danube Partnership where we are supporting communities and nature on this vital water course that flows through several of our markets. Our communities are also continued focus for us. Thirdly in Europe and Nigeria, several communities were severely impacted by floods in 2024. In addition to delivering over 270,000 liters of beverages, the Coca-Cola HBC Foundation also made financial donations to support a variety of targeted community projects in each of the affected areas, a big thanks to those that made that happen. Finally, I'm delighted to share that we have exceeded our one million target for the number of young people we have trained in our Youth Empowered program, a year ahead of schedule. Anastasis has already shared our outlook for 2025 with you, but I'd like to take this opportunity to set your sight a little further into the future. We have an abundance of opportunities in our 24/7 portfolio and diverse markets and we are confident that our capabilities, people and culture stand us ready to capture them and to continue expanding revenues and EBIT in 2025 and beyond. Thank you for your attention. And with that, let us now open the call to your questions.
Operator: Thank you. [Operator Instructions] And the first question comes from Andrea Pistacchi from Bank of America. Please go ahead. Your line is now open.
Andrea Pistacchi: Okay. Thank you. Good morning, Zoran, Anastasis and Jemima. My first question is on the guidance please. So last year, it was an uncertain environment at the start of the year, of course. And you started the year guiding to 3% to 9% organic EBIT, and you ended up delivering of course very strongly more than 12%. This year the environment seems to be I'd say at least as uncertain as last year, but you're guiding to 7% to 11%. So maybe just to understand if you could talk about some of the sort of different moving parts? What gives you more confidence this year? Is it more on the cost side probably the transactional effect? If you could just talk about this a bit please.
Anastasis Stamoulis: Yes, good morning, Andrea. This is Anastasis. Let me start with this. Our 2025 guidance is for an organic EBIT growth of 7% to 11%. I would say that we are mindful of the dynamic trends in our markets and the volatile political landscape still around us. And we have the whole year ahead of us including the key trading periods. But overall, we are confident on our ability to execute and drive performance in a variety of environments. You mentioned development of commodities. I have to say that we still expect a certain level of inflationary pressure when it comes to cost per case for next year, perhaps not at the same levels as we have seen in the past of course. But there is some moderate improvement when it comes to sugar and energy. But still there is inflationary pressure when it comes to aluminum, freight cost and certain secondary packaging materials. I also have to highlight that we have a very good hedging coverage, when it comes to our key commodities. On average, we are about 60% covered, which is a better position versus what we had the same period last year. So with that in mind, we believe that our guidance is capturing the certain cost developments ahead of us.
Andrea Pistacchi: Okay. Then my follow-up which is probably actually follows from this and I think Zoran talking about the situation in Europe, so you closed 2024 with positive volumes in both established and developing markets. And I think Q4 volume in established was even a bit better than what consensus was expecting. So can you talk about Zoran, how you see the consumer environment in Europe now going into 2025? Any differences between your established and the developing markets? Will you see affordability still being an issue something that you have to manage this year?
Zoran Bogdanovic: Good morning, Andrea. Yeah, I think you rightly said. So knowing very well that we operate in a number of different markets in our three different segments it's fair to say that it really does remain a very dynamic environment similar to what we saw last year. Now unique circumstances in every single market that we have are fully incorporated in our plants. So related to consumers, we do see as we also highlighted last year that there is certain consumer price sensitivity, which actually remains stable across the countries, even though -- despite a slow recovery in sentiment which is still below 2021. So all in all, this just is reinforcing the point that affordability remains a key topic. So it's very well reflected in all our revenue growth management plan across countries, of course, together with the premiumization initiatives that we also have. However, I do emphasize and acknowledge that there is a whole variety of affordability initiatives that we have in our markets and in all three segments. But yeah, for sure as well in the Established segment where we have seen a few markets, which we called out also last year having some price sensitivity and that has been fully reflected with the level of promotions and the whole pack and price architecture that we have been addressing and evolving already from last year, but this is very well reflected in our plans for this year.
Andrea Pistacchi: Okay. Thank you.
Operator: Thank you. We will now go to our next question. Please stand by. And the next question comes from the line of Matthew Ford from BNP Paribas. Please go ahead. Your line is now open.
Matthew Ford: Good morning, Zoran and Anastasis. My first question is, just on I suppose the trends in Q4. I think you mentioned that you saw some improvements in Italy towards the end of the year from some of the RGM implementation that you put in there. Just be interesting if you could just speak about in the last quarter in Q4, what surprised you positively what surprised you negatively? And I suppose what are your expectations for that going into Q1? Are there any markets that you would call out as potentially outperforming your expectations or vice versa? That's my first question.
Zoran Bogdanovic: Good morning, Matt. So first of all to say that I'm really pleased with the performance in Q4, which actually was just a sequential good performance over the whole year. And we always reiterate how year has four quarters and in each one of them we have different cycling, we have different dynamics. And everything we planned for in Q4 has been realized. And what continues to be my source of confidence that I'm really pleased with is absolutely strong, disciplined execution that we have across the market, where all the plans that are developed and designed within the revenue growth management are really executed really well. And that's why, as you also picked up, we have seen increasing also positive trends and results. For example, like Italy that you mentioned, we've seen also continued share gains, which are reflecting strong execution in the market and strong partnerships that we have with customers, which I really want to highlight as something that's super-important for us and it's at the very center of our model how we work with customers and how we create value together. On the other side what you asked me, look I can't figure out – I can't, let's say call out something very specific or that there has been anything that surprised us in Q4. It is only that we do see in several markets continued price sensitivity, which we take as effect and there's one input that we embed in our plans. So that just makes us to be alert and to be on our toes, how we read the market, how we read competitive moves and to reflect that in a very agile way as we are constantly fine-tuning plans for this year. And I'm very confident that this momentum that we had last year is giving us good reasons to believe that this year is also going to be another good year of growth.
Matthew Ford: Great. Thank you, Zoran. And then just my follow-up is on Energy. You mentioned there that clearly very strong double-digit growth now for nine years. Clearly, the emerging segment is driving a lot of that but you called out high single-digit growth last year in the other regions. Given that we're seeing some moderation in the overall category more broadly, how are you able to drive such strong growth? Do you think – and what's your outlook for 2025 in terms of your performance in that category?
Zoran Bogdanovic: So Matt, it's a consistent planning reading the market and executing strong plans that we do every year, leveraging many pillars that we have at our disposal. First of all, the quality of the portfolio that has three brands, which we deploy across the countries, given the local market opportunities, most sizable is Monster of course, as a mainstream – or high-end mainstream brand. But we also have a very good performance from Burn in a number of markets mostly in Eastern Europe. And then this more affordable proposition that we have, primarily in Africa, which is performing extremely well. But that's why I said in my intro remarks that we are very pleased with this high single-digit performance in Established and Developing because apart from portfolio we have and continuously are increasing number of dedicated coolers because we find that as very important for the whole – is a driver of the growth. Also continuous innovation that Monster Energy Company is bringing to the table, which we really see as one of critical successful factors of why this is continuing to grow. Then there has been also a reformulation introducing zero-sugar variants to also address consumers that need such products. And we are very happy with the performance of this zero-sugar variants. And yes, to say that there are also a number of very consumer-relevant promotions, because Monster Energy is also bringing some relative – sorry relevant assets that are very appealing to consumers, so that's one. And lastly, maybe I will say how the consumer segments are increasing and spreading more and more over years. So it's not only teenagers as maybe used to be in the past but there is a growing number of consumer segments that are tapping into this category looking for the energy proposition. So many factors that we embed in our plans and we take them very seriously and we execute with discipline consistently.
Matthew Ford: Great. Thank you.
Operator: Thank you. We will now go to our next question. Please stand-by. And the next question comes from the line of Mitch Collett from Deutsche Bank. Please go ahead. Your line is now open.
Mitch Collett: Thank you. Good morning, Zoran, Anastasis and Jemima. My first question is pretty big picture. But just looking at slide 20, which shows your track record of double-digit organic sales growth on a five-year, three-year and one-year view, I guess it makes the 6% to 7% medium-term guidance look pretty conservative. And I appreciate your track record of under promise and over deliver. But what's the difference between what you've seen over the last one, three and five years versus what you're expecting going forward?
Zoran Bogdanovic: Hi, Mitch. As you said, 6% to 7% is on mid-term guidance. So the past performance over the last few years has had a unique blend of environment, which had high or pretty high inflationary conditions to which we had to also respond as well as wider market. And this is where we deployed revenue growth management in a way that on one side we were doing necessary and needed levels of pricing blended also with mix. But I want to highlight, but also, we managed to do it in a way that did not sacrifice volume. It did to a certain extent. However, one of the imperatives was that we have positive volume growth. So when you put all that together, we have been able to achieve the results that we do. Our ambitions remain very strong and high, but we just also expect that over years and in the absence of abnormal conditions in the market that being on a 6% to 7% corridor, is something that we see when all the conditions normalize where we would also then see more balanced contribution from price/mix as well as volume.
Mitch Collett: Understood. And then my unrelated follow-up and it's a tricky topic, but if there is an end to the Russia-Ukraine conflict, how would that affect you? I guess, operationally, and I'm conscious, you've kept that business going well despite not being able to sell Coke brands, but what would be the difference for you operationally? And does it affect how you think about your capital deployment options as well? Thanks.
Zoran Bogdanovic: Thanks Mitch. Look, we like everyone else are really hoping that there is as soon as possible a solution, a resolution of this more conflict and that peace is established. So that's the biggest hope that we have. Until a solution is really reached, anything that I would say at this moment would be, I think you appreciate to say, very hypothetical. So we have to see how that resolution will be what's going to be the design of it, and then we will take that onboard and we will plan accordingly. But in the meantime, we simply stay the course doing as best as we can. And we are still waiting that this happens as soon as possible.
Mitch Collett: Understood. Thank you, Zoran.
Operator: Thank you. We will now go to our next question. Please standby. And the next question comes from Aaron Danske [ph] from Goldman Sachs. Please go ahead. Your line is now open.
Unidentified Analyst: Thank you. Good morning, Zoran, Anastasis, Jemima. Thanks for taking my question. I have two. First a follow-up on COGS. When we look at the European sugar prices, I think they've declined over 30% in December. I think previously when that happened historically, you had a pretty sizable reduction in your own sugar costs. When you look at the hedge position for 2025, are you seeing this benefit flow through your COGS? And should we expect it to help your margins across developing and established markets? And then the second question is on Africa. When we look at the profitability in Nigeria and Egypt, it has been under quite a lot of pressure due to FX devaluations. When we listen to Heineken, they are talking about lowering of the breakeven point. So I was wondering, are you doing the same? And do you expect to see any margin recovery in either Nigeria or Egypt in the coming years? Or do you think it will remain subdued? And also it would be great to hear, how do you think we should think about the balance of volume and price/mix in those African markets for next year? Thank you.
Anastasis Stamoulis: Hi Aron, Anastasis here. Let me start with your COGS question. When it comes to sugar, you're right we have seen some price easing off in 2024 versus the previous years. But as we said earlier and as you mentioned, we have a very good hedging position on these commodities so including sugar. In sugar, particularly, for 2025, I can tell you that we are covered about 70%, which is significantly higher to where we were a year ago. So from that perspective, I wouldn't expect that there is -- if there is an opportunity that will be captured but obviously, there will not be any greater benefit to what is already reflected in our guidance. With that in mind, I can say that, we are seeing, an overall COGS per case of low to mid-single-digit growth inflationary pressure for next year. And maybe Zoran you can start.
Zoran Bogdanovic: Hi, Aaron. Zoran so I'll take the second one. You rightly said that, in our African markets we do have lower profitability. But let me emphasize a few points. We do see in both markets that what is being done from regulatory fiscal and monetary things that, there are things that are being done in the right direction. And there are structural reforms that are making conditions better and better. Maybe it's not as fast as we would want. However, we do acknowledge that the direction of travel is positive. We just came back from a visit of both markets Egypt and Nigeria, where we also had very fruitful and constructive conversations with the government officials. And we have seen a very welcoming and partnering atmosphere and execute, which we fully embrace. And that gives us the confidence that the business is going in the right direction. This is coupled with our consistent dedicated committed work of strengthening, both of those operations with our capabilities, strong investments because at the end of the day, we know that we are not in a sprint with these markets. We are here more on a marathon run, but we are very confident that these markets pose fantastic opportunities for our company. And our development in parallel with the more positive developments in both countries, also enabled with improving geopolitical conditions that surround them we feel positive about the future prospects of these markets.
Unidentified Analyst: Thank you.
Operator: Thank you. We will now go to our next question. Please standby. The next question comes from Sanjeet Aujla from UBS. Please go ahead. Your line is now open.
Sanjeet Aujla: Hi. Good morning, Zoran, Anastasis and Jemima. Couple from me, please. Just picking back up on the established segment I think Anastasis in your prepared remarks. You spoke about increased investments in the business to drive growth and that led to some margin pressure. Can you give me a feel for what those investments are where they're going? Is it the higher promo? Is it increased headcount? A sense of that would be great. And then just tied to that specifically on Italy. Zoran, you spoke quite comprehensively about the medium-term opportunity. Clearly, volumes have been under pressure there for the last couple of years. But what changes are you making in the short term to try and get volumes back to growth in Italy in 2025?
Anastasis Stamoulis: Yeah. Hi. Sanjeet, first of all let me start thing but the overall performance from the established we are very pleased, especially how we have seen growing the top line with the 3.3% organic revenue. And I have to say that combined with the lower inflation of input costs we have seen good gross profit margin expansion. Now, there was pressure on the EBIT margin. But as we have said, we have been investing behind the growth of the business. These investments are for example behind our people reinforcing the sales force in the out-of-home channels in Italy and Greece, as well as overall investment behind strong marketing plans. Also, a small event on the margin as a result of the country mix, with stronger growth coming from Greece comparative to the rest. And I'd also like to remind that we had the DRS implementation in Ireland, which as you might recall requires a certain level of pricing to offset the cost incurred. But mathematically that drives the margin decline.
Sanjeet Aujla: Got it. And then just my follow-up on Italy the medium-term opportunities there but up to two years of volume declines what are you changing there to accelerate volumes in 2025?
Zoran Bogdanovic: Hi, Sanjeet. So I would immediately say that, I'm very pleased with the performance of Italy that over the last three years in average gave us a growth of revenue of 11%. And we did say, also at the Capital Markets Day that we had there -- that Italy is a huge opportunity and that we see that our top line growth will be strong as it is. Now, Italy made a conscious choice that in the environment that we had over the last few years that price/mix was absolutely essential to address in our RGM. And now, also the team has been adapting its plans in line with the lower inflationary environment with more -- with lower level of pricing but more of promotions of various types that's true. And also with a strong marketing campaigns behind, very clear priorities that are being done -- that are being in the country. And that's why we see a number of parts of the portfolio doing very well also leveraging various assets that I said. So together Coca-Cola Company team and us, we really share a strong commitment and belief in the potential of the market for which, we are positive with the outlook for 2025, and also that overall revenue generation will be strong, and also having a positive volume growth in 2025.
Sanjeet Aujla: Thank you very much.
Operator: Thank you. We will now go to our next question. Please stand by. And the next question comes from Charlie Higgs from Redburn Atlantic. Please go ahead. Your line is now open.
Charlie Higgs: Good morning. Zoran, Anastasis and Jemima, head through well. My First one is on 2025 free cash flow, please. And if you could maybe talk a bit about, what you're expecting in terms of capital expenditure. I think it came in a bit lower in 2024 and then in 2025. Is there anything in there for perhaps rebuilding the site in Serbia? That's my first question, please.
Anastasis Stamoulis: Yeah. Hi, Charlie, thank you for your question. Let me first start by saying that, we are very pleased actually with the strong cash flow generation, for the group. And even considering the challenging environment this year with the currency devaluation and the volatility the €730 million is the record free cash flow for, Hellenic. And that was also on the back of triple-digit positive working capital growth, right? And of course we had to offset the extra payment of taxes, so overall, a strong performance. Now on your question behind the capital expenditure that has not changed, I mean, for this year 2024 we may have been at 6.3% which is a little bit lower than our guided range of 6.5% to 7.5%, but that was mostly impacted from the low-levels of investments in Russia. If we were to exclude Russia,we were still well within the range. So looking into 2025, I have to say that our commitment is still there. We will be within our 6.5% to 7.5% so CapEx as a percent of revenue. And with the priorities as always behind improving and increasing production capacity, efficiencies in automation still continue to invest behind digital and data solutions and of course energy-efficient coolers and in general all three elements that will drive our top line growth. In Serbia, in particular when it comes to the Bambi, coming back to full operation for next year as a result of the fire. This is part of our 2025 capital investments. So that range also includes the activities that are being taking place now. There is good progress and we believe will be operational fully by second half of the year.
Charlie Higgs: Thanks, Anastasis. And then, my follow-up is just on the organic sales growth guidance 6% to 8%, there's quite a few moving parts with sugar taxes and several deposit return schemes. I was wondering, if you had any thoughts on how that 6% to 8% split between volume and price/mix growth. Should we be expecting another year of slightly stronger price/mix growth versus volumes?
Zoran Bogdanovic: Hi Charlie. Yeah. We do see that all three elements price and mix and volume will be positive but it's also fair to say that this year we do see that price/mix is going to be of somewhat bigger impact than volume.
Charlie Higgs: Thanks, Zoran.
Operator: Thank you. We will now go to our next question. Please stand by. And the next question comes from Mandeep Sangha from Barclays. Please go ahead. Your line is now open.
Mandeep Sangha: Hi. Good morning, Zoran and Anastasis, Thanks very much for taking my question, relatively quick one actually. Just focusing on coffee where, it was another strong year of growth. In a statement you talk about refocusing your attention towards the out-of-home channel. Just maybe a question is there an infamous change in the second half of the year that's sort of driven that refocus? And are there any particular markets where you're seeing a really good traction with the coffee portfolio that you would like to call out even 2024 or looking ahead to 2025?
Zoran Bogdanovic: Hi Mandeep. Look, our focus behind coffee is unchanged. We really love the category and opportunity for our midterm and long-term growth trajectory. As we go along, we collect more learnings and knowledge of the business and of the category. And also we want to build the business in the parts of the market, where we also know that economic viability is better and stronger. And this is driving our plans to focus more on the out-of-home part of the market. Also bearing in mind that green coffee pricing over the last couple of years has been on a quite high level. And in any case focus on out-of-home presents a stronger fundamentals of creating our footprint in that category and it goes very well with our overall out-of-home focus that we have for our total business. So it's just how we are embedding in our journey going forward all the learnings and how we are adapting the business to what is the right thing for us as well as our brand partners with whom we are creating plans together.
Mandeep Sangha: Great. Thank you very much.
Zoran Bogdanovic: Welcome.
Operator: Thank you. We will now go to our next question. Please standby. And the next question comes from Philip Spain from JPMorgan. Please go ahead. Your line is now open.
Philip Spain: Hi. Good morning. Thanks very much for taking my questions. My first one is just on the balance sheet remains in a very strong position and the leverage is below your target level of the 1.5 times to 2 times. I just wondered how you're thinking about any plans for potentially excess cash whether you'd like to move back up to the bottom end of that range in time and how you're thinking about kind of the use of that cash could be between potentially M&A or accelerating your cash returns to shareholders? Thank you.
Anastasis Stamoulis: Yes. Hi, Philip. Thank you. Yes, you're right we have been focusing on maintaining a very strong balance sheet. And the one-times ratio is slightly below our guided range of 1.5 times to 2 times. Our capital allocation priorities have not changed. So as I said before we are prioritizing behind investing on the resources to drive organic growth so we will maintain the CapEx range of 6.5% to 7.5% of our revenue. You also heard us talking on the call about dividend payout. We are maintaining a progressive dividend policy of a ratio of 40% to 50%. And that's why we are proposing an increase of our dividend growth of 11% versus prior year on the back of 19% growth in 2023. And when it comes to additional returns to shareholders we have been executing various programs like the share buyback program that has been progressing very well. We have returned about €226 million from 2% of outstanding shares purchased back from -- for Hellenic which is about 55% of the targeted max return. When it comes to M&A maybe I will pass over to Zoran to have it.
Zoran Bogdanovic: Hi, Philip. Just to say that -- look M&A is always an option an opportunity like we've demonstrated over the past few years. Our priority now is in making everything that we have realized over the last few years to embed it and make it work. And we do remain open for any opportunities going forward that may present themselves as long as they will fit the criteria of strategic fit valuation and overall that it makes sense for our growth journey as well as for shareholder value creation for our business and our shareholders.
Philip Spain: Great. Thank you. And I just had a follow-up as well. Going back to the point you made around some of the promo step-ups and the price pack adaptations that you made in markets where you've seen I suppose higher consumer sensitivity to price. I just wondered if you could give more color on the extent of the promo increase you have made in those markets? And also what you have done around adopting the price pack architecture as well in those markets? Thank you.
Zoran Bogdanovic: Thanks, Philip. So first of all to remind that when we say pricing within the RGM one thing is headline pricing. But the other thing is that we really use in a I would say quite sophisticated and smart way whole variety of promotions whether those are price promotions or value-added promotions leveraging all kinds of complementary products or assets. Last year was a great example of leveraging promotions that we've done behind the Olympics, behind the Euro Cup. And this year as well, we have a number of assets that we are doing across the country. So, promotion not necessarily always mean the price promotions. Also, just to say that our effectiveness of using promotions has been one of the use cases that we have within our data insights and analytics, which is continuous improvements and how do we increase the returns from every euro invested in promotions which we are working and doing in conjunction very close collaboration with our customers. And our key objective there always remains, how do we drive more transactions which are benefiting us, as well as customers, but in a way that also gives value to our shoppers and consumers. Now, I could give you a whole range and a variety of pack price changes in countries. And this really varies from market to market. But for example, let me tell you that we've been doing in Italy flash promo which means pricing on a pack of single 600 ml pack that we have there. We have for example downsized our multipack of two times 1.75 liter promo offer to two times 1.5 liter. In Ireland for example, we downsized our 20 and 24 packs to 18 packs. We've been introducing and now scaling across several markets 300 ml PET entry pack. Also in Poland for example smaller multipacks of future consumption packs where we now have two times 1.5 liter instead of previously four packs. So, there are a number of things that we do here. Let me also emphasize that in Africa in Nigeria and Egypt, we are leveraging very well our returnable glass bottle business which has been driving growth, while addressing the affordability needs of the consumers in the market.
Philip Spain: That’s very helpful. Thanks, very much.
Operator: Thank you. We will now take our last question. And the last question comes from Edward Mundy from Jefferies. Please go ahead. Your line is now open.
Edward Mundy: Good morning, Zoran, Anastasis and Jemima. Can I ask a bit about Spirits. I think Exhibit 3 within your release just shows sort of how high the revenue per case is on Spirits relative to NARTD. And as you scale Spirits both the agency brands and also Finlandia, it is starting to have quite nice impact on your overall growth. Could you perhaps talk about the growth runway as you think about it for Spirits on your platform first of all? And second of all any help on the profit per case? It looks like in the developing markets it's having quite a big impact on profit per case. That's my first question.
Zoran Bogdanovic: Hi Ed. Indeed premium spirits category has significantly higher revenue per case than the rest of our portfolio. It is simply the nature of that category of small volume high value that also makes it quite logistically suitable to handle. But such high-value products are also excellent part of the revenue growth management that we do with customers and the plans that we execute there. We do see that, with the evolving and growing portfolio of premium spirit, that not only that these steps into the opportunity that premium spirits as the category helped, but I would say even more the impact -- the spillover positive impact, that it has on our non-alcohol portfolio, because we do see, how directly it is driving transactions, incremental transactions and that's actually the beauty of it and overall value. Also the profitability, because majority of this is actually -- we are in the distributor model except for Finlandia, which means that our relative percent margin is below our average margin. However, as you can imagine the absolute cash margin, per transaction here is, quite higher. So, that's a good blend. And for sure, it has a positive impact on our segments and overall for the company. So, all in all, we really think it fits very well our 24/7 strategy, as it drives growth and it drives incremental transactions.
Q – Edward Mundy: Thanks. And my second question, just coming back to the balance sheet. With your net debt to EBITDA at one time and perhaps you return some cash through a special divi, clearly, the market narrative as you may or may not do something transmissional perhaps in Africa, but from a spirit standpoint, it's a pretty good time to buy spirits. Valuations are low. Balance sheet for the listed companies are not great. How do you think about your spirits portfolio, be it agency and obviously owned perspective and other opportunities to bulk on other spirits brands, which could make your spirits strategy even stronger?
Zoran Bogdanovic: Yes. Look, we are focused on our priority is to deliver on the selling portfolio of brands that we have with the well-selected brand partners. So, that's our priority. Finlandia was quite, a very specific unique case, as 60% of its global volume has been in the markets, in our portfolio of countries. So our focus is on embedding, and scaling, and leveraging what we have bought now and that's where our attention is. At the moment, we are not actively looking into the other things until we really consolidate and make what we have at the moment to work as best as possible.
Q – Edward Mundy: Very clear. Thank you.
Operator: Thank you. As there are no further questions, I would like to hand back to the floor for any closing remarks.
Zoran Bogdanovic: Thank you, operator. I'd just like to thank everyone for taking part in today's call. And let me just briefly conclude, that we are very pleased with our performance last year and we feel well positioned to continue our growth story in 2025 and beyond. Thank you very much. Have a great day and goodbye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.